Georgiana Radulescu: Good morning from Asker, Norway, and welcome to our Quarterly Results Presentation. My name is Georgiana Radulescu and I'm heading Investor Relations at Tomra. With me today, I have Tove Andersen, CEO and Eva Sagemo, CFO. They will take you through the results and you will have the opportunity to ask questions via the Q&A tool which is embedded in the webcast. Kindly reminding everyone that we have a small lag between our presentation here and what you see online. So we would appreciate if you ask your questions well in advance so that we make sure that we receive them all in good time. With those being said, I will pass the word to, Tove.
Tove Andersen: Thank you, Georgiana. And welcome all to the third quarter result presentation of Tomra. Today we present a quarter with continued growth resulting in all-time high revenues and increased order intake and order backlog. Especially the Recycling division had a strong performance in this quarter. Our revenue ended up on NOK 3.156 million which is currency adjusted 6% up for the group. The revenues were 1% up in Collection, flat in Food, while Recycling increasing with 34%. Our gross margin in the quarter ended up on 41%. That is three percentage points down versus the same quarter last year, driven by continued inflation pressure and mix effects. Our operating expenses in the quarter were NOK 848 million. As we communicated at the Q2 presentation, we are now back to a more normalized activity levels with exhibitions, customer facing activities, and travels. In addition to that, we are investing into future oriented activities to position us for future growth in line with the strategy that we presented at the Capital Markets Day and our ambition to double our business in five years. That resulted in an EBITDA of NOK 454 million in the quarter. Cash flow from operations were NOK 325 million, down from NOK 596 in Q3 ‘21. The decrease was mainly due to increased working capital. We increased both the inventory of finished products and also accounts receivable, mainly due to timing effects of order intake. We have a strong order intake in the quarter and over NOK 1.517 million combined for Recycling and Food. That is an up 12% compared to ‘21. We had especially strong performance in Recycling where we had a record high order intake, up 41% compared to the same quarter last year. This has then given us a strong order backlog of NOK 2.3 billion which creates a strong and good foundation as we are entering into Q4. Overall, we continued our good delivery and performance also in this quarter, we have been able to do that through the whole COVID pandemic and the supply chain shortages. We have, in general, always been able to deliver on the customer commitments, which is extremely important for future opportunities. On the supply chain the situation, we will say it’s fairly similar to the way it was in Q2. It has stabilized but we are currently still not seeing significant improvements. As commented, cost inflation has continued to be a pressure point. We have as a target to pass on the increased cost to our customers. Our commercial discussions and price increases are progressing well. However, as also previously communicated, especially due to framed contacts in the Collection divisions, it will take some time before we are back at normalized levels. Also, of course, in light of the tougher macroeconomic environment, we are monitoring the demand closely for any signs of slowdowns or recession. But the sentiment has been good in the quarter and the pipeline that we have remained strong. However, it is of course important that we continue focusing this to manage the risk and exposure we have, but also to be able to act and adapt quickly if the situation changes. Let's then dive into the different divisions with the business update. In Collection, we had an overall good development in the quarter resulting then in all-time high quarterly revenues. An important milestone this quarter was that we now have 300 R1s installed in Northern Europe. R1 is our multi-feed reverse vending machine that you can see on the picture here, really providing superior customer convenience and experience as you don't need to go and put one and one bottle in, but you can drop a whole bag at a time. Also good to see, now that we made the first sales of R1 in Germany, and this is a good example on how we want to drive growth in existing markets through innovation, which is part of the strategy in Collection. We also see continued good activity in Romania as the retailers there prepare for the start of the deposit scheme. As expected, there was announced a new start date for Romania, which is now confirmed to be in November 30, 2023. In our key throughput market, we saw positive volume development in North America, while still heavy rain is impacting the volumes in Australia somewhat. I already commented on the delivery position. So let me then say a few words about the activity level in new markets. In Q2, we highlighted that we have established ourselves in a number of new markets to be ready for then the implementation of a DRS schemes in those. And in the quarter, we have seen good activity level and concrete discussion taking place in many markets. As we usually do, we have listed here on the right hand side, the markets that have a firm decision about implementing the DRS. I'm not going to go through one by one because there are very limited changes on that list compared to previous quarter. I already mentioned the main change which is Romania. The others there are no key changes. There are some retailers in the Netherlands challenging the start date there of January 1, and want that moved to April 1. For us, we don't believe that will have any material impact if there is a delay of three months there. In addition to these countries, I want to mention a couple of other developments. In California, there has then been passed a Senate Bill, which amends the current Bottle Bill in California. The objective of the new Bill is to really increase the collection and recycling rates in California. And it's putting in place different measures on how to achieve that with some firmer retail commitments but also incentives that will be provided to run different initiatives to meet those objectives. Also in the quarter and New South Wales in Australia has launched a consultation linked to expanding their Deposit Return Scheme. Singapore launched its public consultation in September and New Zealand is currently finalizing their public consultation, so overall good activity level and concrete discussions in many markets is taking place. Then over to the Recycling division, which had another strong quarter with all-time high revenues, order intake and order backlog. The order intake were up 41% compared with Q3 2021. And in this quarter, we do see good demand levels for all segments. There is no particular segments that are standing out. And if you look at it from a regional perspective, we see a good pipeline in the more traditional regions like Europe and North America. But also interesting in this quarter is that we see that there is increased activity also in emerging markets, for example, in Africa. And typically what we see there is increased investment in PET recycling capacity. We are following closely the sentiment and the demand signals in this segment both due to the macroeconomic uncertainty but also due to that there has been a drop of some - there were some of the commodity materials in the quarter. However, the sentiment still remains strong. And as you'll see from the graph here on PET, even though that there has been a drop in prices, we are still at this significantly higher level than what we were a few years back. Also, I think what's interesting now to see on the graph here is that the drop in virgin PET has been higher than in recycling PET. So, in general still strong market sentiment, some uncertainty by smaller players but especially among the large players, their continued commitment into circular economy and investment seems to be firm. Some positive regulatory developments in Europe in the quarter. September 15, the European Commission adopted new rules on recycled plastic to be used in contact with foods. It is important to ensure that we are able to get approval to take plastic from different waste streams and get that approved to food grade material if you’re really go to enable closed-loop. Previous legislation has put very firm or there’s quite some restrictions on what is needed. For example, separate collection to make that feasible, which has made it difficult, for example, to take mix waste out of - plastic out of mixed waste and get it food grade approved. So that is a positive development. Also, the day before that was launched, Ursula von der Leyen announced a European Critical Raw Materials Act. This is linked to that Europe wants to be more self-sufficient, more independent. And the Act aimed then to build a resilient supply chain in Europe and supporting the projects and attract investment into mining, refining, processing and recycling. This can be a good contributor into firmer legislation in this space, but also investment, increased investments in the recycling capacity. Also, what we're seeing in this quarter is that the large chemical companies are moving ahead with the objectives that they have set on recycled content. Actually, this week, there were two announcement that came, ExxonMobil in cooperation with LyondellBasell has announced that they will invest in 100 million US dollar plastic recycling facility in the US based on also chemical recycling. And Borealis also announced this week that they will invest in an advanced mechanical recycling facility in Austria. That facility is based on the competence and knowledge that we have developed together at our Lahnstein pilot in Germany. And we have also done this quarter, published our white paper on mixed waste sorting and advanced mechanical recycling. In Tomra, we want to lead the resource revolution, we want to be a thought leader in this space, and that's why we are working broadly with the value chain to develop new technologies to open up new market opportunity. So this white paper is about how you can take post consumer plastic and use the existing technologies in a combined and advanced way to ensure that you can then get that into really virgin-like recycle to really close the loop on plastic and plastic packaging. And that combined with changes in the food grade legislation will open up new opportunities. Then moving into Food. The need for automation and consistent quality of fruit, vegetables and processed food continue to drive opportunities in this division. The revenue remained flat this quarter, but in general, the demand signals are good. And this resulted and also that we have an 8% increase of our order backlog in the quarter. If you look at segments, we saw that this was a good quarter for potatoes, and in general, processed food. While in the fresh food segment, it was more a mixed development where citrus was a strong category, while other categories were below where we were last year. Also, as we talked about, in Q2, the market sentiment is still strong. Even though of course there are discussions and concern linked to potential recession. However, we don't really see that materializing in reduced investment capacity, because also the high inflation and shortage of labor is really driving the need for automation. I spent a couple of weeks in Australia and New Zealand now in September visiting our operations there. And among others, what I did was that I met the two largest apple producers in New Zealand and one of the largest in Australia. And top of their mind is labor shortage. That is their main concern. And the focus is really on investing in automation to reduce the dependence on labor. Of those three, one of them had just finalized investing in a new packaging unit, one had an ongoing upgrading and the third is now preparing the investment decision for a new packaging house next year. And one of them had the ambition now that by 2025 to fully automate the pack house where there is no human touching the apple when it comes into the pack house until it leave in a box. And by doing that, he will then be able to reduce the labor that was needed with two thirds. So it just shows that the shortage of labor and inflation pressure also has a positive effect into this segment. As part of our food strategy, one of the key elements of our food strategy is customer centricity. And we have different initiatives in the segment linked to how to drive this. I talked previously about our category focus and how we have organized our commercial activities to ensure that we are developing customer centric solutions. And now the focus is to be able to offer to the customers integrated solutions. Many of our customers, they will not build the pack houses every year. They want somebody that can come and then provide an integrated solution. So to respond to that, in this quarter, we announced a new partnership with ICOEL. ICOEL designs and manufactures fruit handling, processing and packaging equipment. In many pack houses, you will see that there are equipment both from ICOEL and Tomra. So through this partnership, we can offer integrated solutions to our customers, combining then the equipment from both companies. So this will be a positive contributor into our customer centric strategy. That then concludes the business update. And I will hand over to Eva.
Eva Sagemo: Thank you, Tove and good morning to everyone. So I will take you through their financials. And we start with the group P&L. So we had a good top line for the quarter ending at NOK 3,156 million. It's up 6%. And it's mainly driven by the good momentum in Tomra Recycling. So Collection up 1%, Recycling then up 34%, and Food on par with what we saw same quarter last year. Our gross margin is at 41%. It's down three percentage points. And that is what we see in all business divisions this quarter and it's mainly due to the inflation but also the mix within the business division. Our operating expenses were up 12% ending at NOK 848 million and that is due to the future oriented activities that we are investing in such as the ramp up cost in Tomra Collection, but also the Circular Economy division, in the Recycling and more normalized activity levels and business expansion. EBITDA at NOK 454 million, ending at an EBITDA margin at 14%. Then looking into Collection. We are satisfied with the top line this quarter ending at NOK 1,586 million, up 1%. We will need to remember that same quarter last year were kind of like high comps, mainly due to ramp up in Slovakia but also in Germany, we had good sales in that quarter. This quarter, we see good revenues in the Nordics, similar to what we have seen in the previous quarters this year driven by, for example, as Tove mentioned, the R1 sales and technology. But we also see this quarter that we have early steady sales in Romania, as we also communicated back in Q2, we are at the same pace as we said back then. And America, North America is strong with this quarter as well. It's mainly due to the commodity prices and high volumes in that regions. So gross margin ended at 38%, which is five percentage points down compared to same quarter last year, which was a good quarter. And what is good to see is that we are able to increase our margin slightly, if you look at the decimals as well, which is also a positive signal for us in Tomra. Looking at operating expenses, we are up 7% ending at NOK 335 million. And that is mainly due to the increased ramp up cost that we have for new markets in this business division. EBITDA at NOK 268 million ending it 17% EBITDA margin. Looking then at Food - no at Recycling. We had a very strong top line this quarter ending at NOK 654 million. So we are up 34% compared to same quarter last year. So it's really confirming the good momentum that we have in this business division. So Europe being the main market in Recycling is performing well very well but also good momentum in the other regions in this business division. Gross margins ended at 52%, it's down two percentage points compared to same quarter last year but good margins. Operating expenses is up 22% ending at NOK 177 million and that is mainly due to business expansions and are at the same levels as we had back in Q2. EBITDA at NOK 162 million ending at 25% EBITDA margin. Looking at the order intake and order backlog, as Tove said, we are all-time high. So order intake is strong at 41%, up compared to the same quarter last year and order backlog is also all-time high with up 24% compared to same quarter last year, ending at NOK 1 billion. Looking into Food, as I said, we are on par with same quarter last year, ending at NOK 916 million. We estimated back in Q2 a conversion ratio of 70% and we managed to end at 66%. This quarter, US has been strong both in South and North, mainly due to the potato and processed food. Looking at gross margins, we ended the quarter at 39%, which is three percentage points down and that is mainly due to mix effect. Operating expenses is up 11% and NOK 297 million and slightly up from Q2 but still, it's at the same - more or less the same levels. And it's due to the more normalized activity levels in this business division. EBITDA at NOK 63 million ending at 7% EBITDA margin. Looking at the orders, our intake was down 4% compared to same quarter last year but we - if you look at the year-to-date development, we are flattish. Order backlog is strong, it's NOK 1.3 billion and up 8% in the quarter. Looking at our balance sheet, it's strong. As we have seen before, no big changes, we have 48% equity and a leverage ratio of 1.1. We also have currency effect in the balance sheet this quarter as we saw in Q2. So the main changes in our balance sheet, if you look at, for example, year-to-date compared to December, it's mainly on the working capital, which has increased. And as Tove mentioned, it's mainly related to the finished goods, that we have machines that are ready to be placed in the market but also the timing of the accounts receivable. That impacts our cash flow from operations which ends at NOK 325 million, which is down from same quarter last year. Looking at financial position, we are in a good position we have the weighted average debt maturity at 1.2 years. And also available unused credit lines at almost NOK 650 million. Currency impacts Tomra and we have had a strong development in the US dollar this quarter compared to same quarter last year, up 14%. If you look at our P&L it’s expanding, approximately 3% of the normal revenue growth this quarter, and also impacts our margins in approximately one percentage points this quarter. Then if we look at the outlook and we start with Collection. With several new deposit initiatives in the pipeline, this division will continue to experience high how activity related to preparation of these new markets. But of course, we will see variations between quarters depending on the timing of these markets. So if you look at the short term development or expectations, we will expect our existing markets to be stable. We also expect activity levels in Romania to continue but also ramp up for cans in the Netherlands, and also volumes in Australia and Latvia to steadily increase over time. Looking more at the mid and long term, we have a lot of new markets in the pipeline. So as we saw back on the slide deck, Scotland, Ireland, Quebec, Victoria, Tasmania and Connecticut is all happening in 2023. And we are positioning for those markets. And that also means that we will continue to invest in those markets going forward but also in other new markets. Looking at Recycling, the positive momentum that we see this quarter and also the last quarters is assumed to continue. We have a strong order backlog at NOK 1 billion. And for the next quarter, we estimate a conversion ratio of a 68%. The pipeline is confirmed to be strong. More in mid and long term, we have no indication that the momentum will stop, as legislation is becoming an important driver for this business. So circularity is a key factor both on the legislation side, but also on the sustainable commitments from big brand owners. Looking into Food, we have good demand signals. We have the order backlog at NOK 1.3 billion. And for the next quarter, we estimate a conversion ratio of 75%. And also here the pipeline is confirmed to be strong. Looking more at mid and long term, we estimate the good demand signals to continue because there is a need to automate in this business, especially related to the labor but also on the safety on the food sorting. If we look at the cost situation, we have talked a lot about the supply chain disruption and logistical challenges back in 2022 and also end of 2021. And if we are looking at what has really impacted Tomra, it’s mainly on the component side but also on the freight element. And we estimate that the cost inflation will continue to be a pressure point also going forward. Even if we will see a drop in raw material prices that needs to be translated into the component prices to have a positive effect for Tomra. So going forward, we will be exposed to wage increases and general inflation and some other costs buckets, which we need to mitigate with further price increases or continued price increases, to really be ready for potentially weaker investment sentiment. And then on the currency, we will continue to be exposed especially towards the euro and the US dollar. And I think with that we conclude this session and we can move on to the Q&A. Georgiana?
A - Georgiana Radulescu: Thank you ever we have received a number of questions already. I will try to group some of them. So the first question is from [Auden Johansen]. Costs increased with NOK 100 million from last quarter last year. What are the main reasons for the increase? Do you see more cost inflation going forward?
Eva Sagemo: Yeah, so we talked a bit about it. So it's the cost increase has mainly been on, that we are seeing, especially on the component process that has been hitting us in 2022. And we do what we can in order to increase prices to our customers. I think also and it's important to see that the freight element has had - played a role in especially in the Food business, but also - we also have a cost in US dollar, which also has increased, if you look at the numbers. So we will expect, for example, cost inflation to have an element - have an impact on the wages going forward in 2023. And that's just what I said that we need to mitigate with further price increases to our customers.
Georgiana Radulescu: Thank you. Then we have two questions related to Scotland. One is from Hakon Fuglu at SEB. When will we see deliveries to Scotland? And the other one is from Daniel Haugland at ABG. A competitor of yours has sent out a press release earlier this week saying it won a Tier I retailer in Scotland for RVMs. Are you seeing any changes in the competitive intensity?
Tove Andersen: Yeah, so as communicated, Scotland is to go live in August next year. And there is significant commercial activities ongoing with the signing of contracts. We don't publish when we sign contracts with customers but we are satisfied with the development so far. On actual deliveries, our expectation is that that will happen throughout the next year.
Georgiana Radulescu: Thank you. The next question is from Hakon Fuglu at SEB. Raw material price have peaked. When will this impact margins within Recycling and Food?
Eva Sagemo: It's, yeah, how to answer that one? It's difficult to say because you would see that in some raw material - if you look at the if you look the revenue side, we will see that, so the commodity prices has been elevated for quite some time. And we see a drop in some of the prices currently, but not necessarily in all - all the different segments. And especially where we sell the most, it's not necessarily a big drop currently. So it's important to remember that we are still at high levels compared to what we saw before. So ‘18, ‘19, before 2021. So we are still at good prices. And it's difficult to estimate when we will see an impact on further price drops in the raw materials in Recycling.
Tove Andersen: And I think it's a moving picture, and we don't really see yet that our component prices have dropped, as we said, but it has stabilized. We have a firm commitment and believe that we will meet our long term target on an 18% EBITDA, we have good progress on price increases, but this will be a moving situation, and we would expect to see gradual improvements.
Georgiana Radulescu: Thank you. The next question is from Timo Heinonen from Handelsbanken. Any comment about the potential in California? How many RVMs are needed there?
Tove Andersen: Yes, so California actually have a Deposit Return Scheme in place. But it's not really a commune scheme, there is no obligation currently on the retailers, they can pay themselves out from - than receiving the bottles. But of course, California represents a significant potential, its 40 million people living there. It's too early to say exactly the potential of RVMs. But what is now - this is of course, something we're investigating on how we can now engage into that - the state due to the changes. This new Bill it's about, first of all, that the retailers will not be allowed to pay out. There will need to be an obligation that they have to take bottles that are returned to them or become part of cooperatives that facilitate this. There is also expectations on incentive programs that could potentially then support retailers in procuring RVMs and so forth. So California is an interesting state, but it's still early days after this Bill has been launched to them, be very firm on the actual potential.
Georgiana Radulescu: Thank you. The next question is from Elliott Jones from Nordea. Do you expect EBITDA margins to stay at these levels for the remainder of 2022? And do you expect margins to stay at depressed level through 2023?
Tove Andersen: I think we don't guide on quarterly EBITDA margins. I think as we've communicated, we are comfortable and happy with the price increases and how they are coming ahead. But at the same time, as all of you see, the inflation still remains high. So this is important to continue with further price increases to ensure that we also capture the inflation cost, and we expect then to get a gradual improvement in our margins. Not sure if there's anything more to say, Eva?
Eva Sagemo: No, I think that is a good answer.
Georgiana Radulescu: The next question on the same note is from Aurelio from Morgan Stanley. Could you please discuss how pricing discussions have developed with customers regarding your frame agreements? How much of the margin impact in 2022 could be recovered in 2023?
Eva Sagemo: So, as we have said before, it will take some time to recuperate the margin that we had before and related to these frame agreements. And we have said that we will see gradually improvement in ‘23 and then also into 2024. What is positive signals, is that we are able to increase prices in some of these frame agreement now. So we have a good relationship with the customers and a good dialogue. So there is at least is a positive signal for Tomra Collection in order to manage to increase the prices also in relation to these frame agreements.
Georgiana Radulescu: Thank you. The next question is from Timo from Handelsbanken. How much circular economy ramp up costs were in OpEx? About components, how much were you exposed to the spot market and how do you see that in Q4?
Eva Sagemo: So what we have said before is that we are investing in circular economy and we are at levels as we have seen before. And the ramp up in Collection in new markets, we have communicated back in Q2 that we are at a run rate for the year at closer to NOK 200 million.
Georgiana Radulescu: Thank you. The next question is from Daniel. You say demand signals are good despite tougher economic backdrop. Could you give some more details on what are you seeing here? What are your customers saying? In previous recessions, sorting has seen material weakening? How do you think about this?
Tove Andersen: Yeah. So, of course, this is an important topic both for us internally to monitor but also in our discussions with the customers. So what are we currently seeing? Or what do we hear currently? We hear, in Collection, we hear some customers thinking about delaying investments, for example, on replacement on new machines. So we do see that. In Recycling, we see some smaller players being a bit concerned about the cost of high energy prices and then lower, for example, metal prices. The profitability has been decreasing, but then on the medium, large players, we don't really see this. And also, as I said, in Food, there is, of course, discussion about the recession but currently, still the sentiment is good. I think it's, of course, very difficult to predict what would be an outcome of recession because it really depends on how big, how wide is it, you know, wide reaching it will be and so forth. We believe that we are fairly robust in such a situation, both due to that we are diversified, we are exposed to many different market segments, geographies. Also because part of our business is regulation driven, that will continue also through a recession. And the third element is that we have a significant portion of our revenue. So we believe and of course, we also have a strong financial position. So we believe, if there will be a recession, of course, we will be impacted. However, we believe that that also could create potential good opportunities for us. So our focus is to ensure that we follow it closely, and that we have scenarios established, action plans established to ensure that if it happens, we can act swiftly on it and also hopefully take some opportunities throughout such a period.
Georgiana Radulescu: Thank you. The next question is from Markus Heiberg at Kepler Cheuvreux. How much did Romania contribute to Collection revenues in Q3 versus first half year?
Eva Sagemo: Yeah. So what we said back in Q2 is that we had NOK 150 million coming from Romania, and that we are at the current pace, to also deliver approximately the same in this second half of the year.
Georgiana Radulescu: Thank you. I will combine the next two questions from Markus at Kepler Cheuvreux. They are about the order intake. So the first question is what is the currency impact on order intake in Recycling and Food? The second question is how should we think about the lower year-over-year intake in Food considering a strong second quarter?
Eva Sagemo: Yeah. So on the currency impact, we don't have that much currency impact on the Recycling order intake. But we have some impact on the Food side but it's not that much. It's, yeah, approximately five percentage. We have a combination of euro orders and US dollar orders, but also in other currencies. And then what was the second question, Georgiana?
Georgiana Radulescu: How should we think about the lower year-over-year order intake in Food considering a strong second quarter?
Eva Sagemo: Yeah. So what you would see in Food is that we have variations between the quarters. And that we have also had, if you go back in the previous years. So this is nothing specific that is happening currently, is just a normal variations between the quarters and you will also expect that to happen going further forward as well. So it's just normal variations, I would say and I don't know if you want to add anything to that, Tove, on this.
Tove Andersen: No, I think that’s summarizing it. You shouldn't read too much into this quarterly variations.
Georgiana Radulescu: The next question is on the same topic. Why was backlog conversion in Food lower than expected in Q3? Why do you expect lower backlog conversion for Recycling in Q4?
Eva Sagemo: Yeah, so if we start with Recycling, it's also depending on the timing of when orders come in and when we are going to deliver into the market. What is important to notice is the strong order backlog and that we have a good flow of orders coming in, also going forward. And the momentum is confirmed to be to be strong. On the Food side, as well, it's variations. We will have it, say, on the estimates on the conversion ratio. It's our best estimate when we are at the end of a quarter and looking into the next quarters. And it will happen sometimes that you end at two percentage points lower or higher than we have estimated. And that's also what you would see this quarter.
Georgiana Radulescu: Thank you. The next question is, what is your view on recycled material prices relative to virgin material in a recession? Do you expect some producers to shift back to virgin materials to save costs?
Tove Andersen: I think that it's a good question. However, what we are currently seeing is that we're seeing as a very firm commitment to increased - the recycled content from many, many places. So the whole focus on sustainability, everybody having their roadmaps towards Net Zero. The chemical companies, the plastic producers are under a lot of pressure to ensure that they are acting on the challenges linked to plastic. They all have committed targets, linked to recycling capacity by ‘25, by ‘30, the same with the brand owners. And we don't really see any indications now that they will not continue acting on that. So what that means is that currently there is a big gap between what will be needed as recycled material the next five to 10 years versus what is available. And I think the two announcements that I mentioned are good examples that companies are moving ahead building this capacity to meet those targets. So the expectation we have at least the thing that we're getting currently is that this will continue even in a recession scenario.
Georgiana Radulescu: Thank you. The next question is from Pete Moon at Alpha Capture. President Biden is currently cracking down on semiconductor exports to China. Will the total [benefit] affect your joint ventures in China?
Tove Andersen: Yeah, no. So of course, we follow those developments carefully. We are sourcing quite some material, both from China and Taiwan, of course, in this areas, many other companies. And if we would not be able to source from Taiwan and China, of course, that will impact our business, as I think for many, many other industries. What we are doing currently, and I think also, having gone through that COVID period and supply chain shortages, has actually made us more robust. We have been working now, the last two years about building a more - diversified the supply chain with alternative suppliers. And that is what will then make us at least come through this in a better way than we were before the corona situation.
Georgiana Radulescu: Thank you. The next question is from Stephen Walker, looks, it from New Zealand. Regarding deposit market long term outlook for Europe, what is the outlook for big markets like France, Italy, Spain, etc.?
Tove Andersen: Yes, so as you notice, they are not on the list of our markets that currently have confirmed that they will implement the Deposit Return Scheme. But of course, as part of EU, they need to meet the targets set out in Single Use Plastic Directive. That means that they need to be able to collect and confirm that they're collecting 77% of the beverage containers by ‘25 and 90% by ‘29. And all experience shows that unless you have a Deposit Scheme, you will not be able to achieve that. Typically, if you just have separate collection without deposit, you will be between 40% and 60% collection rate and of at the lower range. So what is happening in these markets? There are discussions, there are processes, some of them have - working now on creating this year as a base year to see where are they today. Spain has communicated if they don't meet the target based on the base year, they will introduce the deposit. France have said that, now we're going to look at the collections, actual collection this year and based on that defining what actions they should take. Also one positive development in the last couple of months, because the question also of now being, so what if they don't meet the targets? Will there be penalties? And also what we saw in September is that EU has now warned, I think it was almost 10 countries in Europe, that unless they met the requirements in the Single Use Plastic Directive and certain things that they should have implemented already, unless they met those by end of this year, there would be lawsuit, there will be legal action towards those countries by EU. So it just confirms that these countries, they will need to meet the collection targets. And then also if they don't meet it, it will be consequences from the EU.
Georgiana Radulescu: Thank you. That was our last question. So that concludes our session for today. Thank you very much everyone for following us. And have a nice day.